Operator: Good afternoon, and thank you for attending today's Duckhorn Portfolio Incorporated Q4 and Full Year 2022 Earnings Conference Call. My name is Jason, and I will be the moderator for today's call. [Operator Instructions] I would now like to pass the conference over to our host, Sean Sullivan, with Duckhorn.
Sean Sullivan: Good afternoon, and welcome to the Duckhorn Portfolio's fourth quarter and fiscal year 2022 earnings conference call. Joining me on today's call are Alex Ryan, our President, CEO and Chairman; and Lori Beaudoin, our Chief Financial Officer. In a moment, we will give brief remarks followed by Q&A. By now, everyone should have access to the earnings release for the year ended July 31, 2022, that went out at approximately 4:15 p.m. Eastern Time. The press release as well as supplemental slides are accessible on the company's website at ir.duckhorn.com. And shortly after the conclusion of today's call, a webcast will be archived for the next 30 days. Before we begin, let me remind everyone that today's discussion contains forward-looking statements based on the environment as we currently see it, and as such, does include risks and uncertainties. If you refer to Duckhorn's earnings release as well as the company's most recent SEC filings, you will see a discussion of factors that could cause the company's actual results to differ materially from these forward-looking statements. Please remember the company undertakes no obligation to update or revise these forward-looking statements in the future. We will make a number of references to non-GAAP financial measures. We believe that these measures provide investors with useful perspective on the underlying growth trends of the business and have included in our earnings release a full reconciliation of non-GAAP financial measures to the most comparable GAAP measures. In addition, please note that all IRI U.S. food consumption data cited on today's call will refer to dollar consumption for the 52-week period ended July 31, 2022, and growth versus the same period in the prior year, unless otherwise noted. With that, I will turn the call over to Alex.
Alex Ryan: Thank you, Sean, and good afternoon, everyone. We really appreciate you joining us today to discuss our strong fourth quarter financial results and guidance for continued growth in our next fiscal year. Following my opening remarks, I will ask Lori to walk us through our fourth quarter financial results as well as discuss our fiscal year '23 outlook, then we will open the call for questions. Before I address a few fourth quarter performance highlights, allow me to frame the current wine industry dynamics and our advantaged positioning. To set the stage, the luxury price point segment, which we define as $15 per bottle and above, has been and continues to be the fastest-growing segment within wine. For the 52-week period as of July 31, the luxury segment grew a healthy 3.5% compared with a negative 4.5% for total wine according to IRI data. Now within the luxury segment, the Duckhorn portfolio has continued to be a driving force behind the segment's growth. We were the fastest-growing supplier of the top 15 luxury wine suppliers on both the dollar and volume growth basis with growth in the low teens for both metrics. And when comparing ourselves to our scaled peers who participate within the growing luxury wine segment, our dollar growth was approximately 6x greater. This context is key to understanding our fiscal fourth quarter performance and guidance for fiscal year '23. Turning to some of our Q4 highlights. First, we ended the year with great momentum on both the top and bottom line. Second, we posted 10% organic net sales growth, reflecting solid volume growth, once again led by our Duckhorn Vineyards and Decoy winery brands as well as sound execution across all channels. When looking at three year compound annual growth rates, our net sales were up 18%, a strong acceleration versus Q3 results, while volume remained consistent for the quarter and in line with depletions. We continue to look at three year CAGRs because we believe this perspective is the most indicative of the underlying health of the business in the long term and minimizes short-term noise associated with pandemic dynamics. Third, on and off premise as well as all major sales metrics, cases, accounts sold and points of distribution continue to drive our outperformance of the industry average. Total company three year trends remained strong, up double digits. And fourth, looking at profitability, we grew fiscal Q4 adjusted EBITDA by over 21% versus the prior year period, highlighted by meaningful gross margin expansion. Let's look at the strong on and off-premise channel dynamics. On-premise remains a primary driver of our year-over-year growth rate, and we continue to take share on slim down wine list as restaurateurs seek out a consistent supply of luxury wines with strong brand equity. They have confidence these wines will sell through and at a healthy margin. While our three year on-premise trends did moderate a bit when compared against third quarter results, the growth in the fourth quarter remained very healthy, even lapping strong prior year comparisons. All three key sales metrics, cases, accounts sold and points of distribution were up high single digits. And constructively, much like the broader restaurant industry where June through July trends realized some growth moderation before reaccelerating in August, we've also seen a solid sequential pickup in consumption patterns to start the fiscal year, suggesting underlying consumer appetite for dining out enjoying a luxury wine experience continues at a healthy rate. As our higher-margin luxury wines are predominantly sold on-premise in the wholesale channel, we expect this to serve as a continued tailwind for gross margins, partially offsetting certain headwinds we foresee heading into fiscal year '23. Turning to the off-premise channel, which I will remind you represents the majority of our wholesale business, we also showed solid growth against the double-digit prior year comparison. On a three year CAGR basis, we delivered accelerating growth in cases, points of distribution and velocities. And accounts sold saw a consistent double-digit growth. With respect to account type, our performance was well balanced between national and independent accounts, a testament to our strategic and continuing investment in our sales team, which is a central pillar of our success and our ability to take share. In addition, we see the effectiveness of our one-stop luxury wine chat model and consumer affinity for our high-quality luxury wines playing an important part of the off-premise channel growth. I'd now like to spend a few minutes revisiting and expanding upon the drivers that underpin our considerable distribution white space opportunity and how this gives us confidence in our ability to generate high single-digit organic net sales growth over the longer term. Starting with the broad lens. There are approximately 500,000 licensed accounts in the United States, of which we believe approximately half are appropriate for our high-quality luxury wines. Of the roughly 250,000 addressable on- and off-premise accounts, our wines appeared in approximately 53,000 or 21% of our addressable market last year, which was up from approximately 47,000 or 19% in fiscal year '21. Today, I am proud to announce that we now stand at approximately 59,000 accounts that feature our wines, raising our penetration rate to 24% as of the end of our fiscal year 2022. This is notable for two reasons. First, it shows that we have been able to successfully grow our accounts by double digits over the past two years. And second, it clearly highlights the considerable runway we still have ahead of us for many years to come. Looking to the future, we have thoroughly mapped out our future wholesale distribution growth opportunity by label, channel and geography and believe we have a viable path to achieve an additional five percentage points of penetration by the end of fiscal year 2025. Importantly, the implied distribution growth over this time period should fully underwrite our high single-digit organic net sales growth outlook and still leave significant white space to support additional growth in our future years. Underpinning our penetration outlook, our assumptions are as follows: One, our wholesale account universe will grow at a low to mid-single-digit CAGR through fiscal year '25. Two, we continue to expect our growth in new accounts to serve as the primary driver for future penetration increases. Three, the opportunity for account growth is broad-based and varies by label, channel and geography. But the majority of our expected account growth will stem from our Duckhorn vineyards and Decoy labels as well as the off-premise channel, much like we have experienced historically. Four, as it relates to velocity per outlet, which considered both placements per account and velocity per individual offering within each account, for the purposes of this analysis, we are assuming minimal gains going forward, even though this metric has grown at a high single-digit rate over the past three years. And five, for purposes of this TAM analysis only, we have assumed no additional new products in fiscal year '23 and beyond. However, as you know, innovation is a key part of our long-term growth strategy. Based on these assumptions, which we believe to be very reasonable given ongoing premiumization tailwinds and our long track record of well outperforming the fastest-growing segment of wine, Luxury, we are confident in our ability to execute against the considerable wholesale distribution white space opportunity we have in front of us and how it should fully support our high single-digit organic net sales outlook over the long term. As an incremental lever for growth, we will continue to thoughtfully introduce new innovation into the market. We have a strong lineup of new products in fiscal year '23, including our previously discussed Costa Brown Burgundy release which sold out within a 48-hour period, one of the fastest sellouts of a Costa Brown release in our history and will be delivered to members in the second fiscal quarter. This serves as a perfect example of how we are delighting our customers in new ways and diversifying our supply of grapes for this luxury brand. Stepping back more broadly, we are proud of our innovation at every price point in luxury from strong introductions of Decoy Limited to the overwhelming response we have had with Costa Brown. Speaking of our prestigious Decoy Blue Label, which stands upon the broad shoulders of our Decoy brand, we plan to introduce Decoy Limited Merlot, Decoy Limited Rose sparkling wine, and Decoy Sparkling Wine in a festive magnum size. This will nearly double the number of Decoy Limited wines, increasing an already considerable distribution runway allowing us to better address new drinking occasions and encourage greater trade up to higher price point wine. In summary, I'm very pleased with our fourth quarter and full year results. I'm confident in our continued ability to grow market share, and I am as excited as ever with what the future has in store for us given our significantly scaled luxury platform; highly diversified supply chain and production capabilities; unparalleled brand strength; uncanny ability to innovate and delight our customers; experienced leadership team; growth mindset which is purely focused on the fastest-growing wine segment, luxury; and our ongoing commitment to invest in our people and their ability to aggressively pursue the considerable distribution white space we have in front of us. I remain highly confident that the best is yet to come. That said, while our core consumer, which I'll remind you have demographics even more favorable than the average luxury wine buyer, has proven resilient to date, much uncertainty remains on the near-term macro. We have prudently taken measured approaches to how we view the world over the next 12 months and will remain nimble, much like we have in the past, in the event actions are required to address any material changes to the environment. With that, I'll now turn it over to Lori to discuss our fourth quarter performance and fiscal year 2023 outlook.
Lori Beaudoin: Thank you, Alex, and good afternoon, everyone. Let me begin by discussing our strong performance in the fourth quarter. Beginning with our top line, net sales for the quarter were $78 million, a 10% organic increase from the prior year, reflecting 7.1% volume growth and 2.9% price/mix contribution. These results were supported by growth in on- and off-premise as well as positive contributions from all channels, particularly DTC. When looking at results on a three year CAGR basis, our net sales growth was a very strong 18%, driven entirely by volume and a notable acceleration versus Q3 trends. On a like-for-like basis, pricing changes were immaterial to our results. Largely on the back of continued healthy demand and on-premise, our depletion growth remains strong, keeping pace with our Q4 shipments and accelerating modestly compared with our Q3 performance on a three year CAGR basis. This, once again, showcases our ability to further take share as we continue to convert consumers to Duckhorn evangelist and drive distribution in both new and existing accounts. Let's take a moment to discuss our net sales performance by channel. Wholesale to distributor increased by 7.3% versus the prior year quarter. The prior year quarter was very challenging to lap as we posted nearly 50% growth in the fourth quarter of fiscal 2021 during a strong return to on-premise, but we were still able to grow the channel nicely. On a three year basis, trends remain quite healthy, up high teens for the quarter. For California direct to trade, the channel grew by 12.5% on a one year basis and 17% on a three year basis. Both results showed a strong acceleration when compared to our third quarter performance. Beginning with this earnings call, we are now referring to our sales to on- and off-premise retail accounts in California a unique point of distinction among large California wine producers as the direct-to-trade channel. In our DTC channel, we realized 21.2% growth compared to the prior year quarter. And on a three year basis, results were up approximately 25%. Our strong DTC growth was fueled by the Costa Brown winery successful estate release, which is comprised of the brand's most exclusive wines and is shipped only to our longest tenured members. While supply constraints will continue to limit growth in the first half of fiscal 2023, today's DTC results are further evidenced that these impediments to growth are moderating, and we feel good about a full recovery by the fourth quarter of fiscal 2023. Gross profit was $39.3 million, an increase of $4.9 million or 14.4% versus the prior year period. On an adjusted basis, gross profit grew $5.7 million or 16.4% compared to the prior year period. This represented approximately 51.8% adjusted gross margin, up approximately 280 basis points year-over-year due to favorable brand and channel mix shifts led by our higher-margin DTC channel. Selling, general and administrative expenses were in line with our expectations, up $3.3 million or 13.5% versus the prior year period. Total operating expenses increased $3.2 million or 13.1% compared to the prior year period. The increase was primarily attributed to investments in our workforce to support our long-term growth strategy, transaction expenses, including an equity follow-on offering and costs incurred in conjunction with other transactions and higher professional service fees. On an adjusted basis, which excludes transaction-related expenses and noncash equity-based compensation, total operating expenses increased by $2.5 million or 12.6%. Net income was $5.4 million and diluted EPS was $0.05 per share, which compares to net income of $7.4 million and $0.06 per share in the prior year period. Adjusted net income came in at $9 million, and adjusted EPS was $0.08 per share, respectively, compared to $9.2 million and $0.08 per share in the prior year period. Adjusted EBITDA for the quarter increased 21.3% to $22.3 million. This represented 28.6% of net sales compared to 26% of net sales in the prior year period. These results reflect our strong top line growth and sound gross margin expansion. At the end of the quarter, we had cash of $3.2 million and total debt of $223.6 million with a leverage ratio of 1.8x net debt. Turning to our outlook. We are pleased to introduce the guidance for fiscal year 2023, which we view as consistent with how we project our continued business performance and prudently reflective of current macro uncertainties. Our guidance calls for: Net sales of $393 million to $401 million reflecting approximately 5.5% to 7.5% organic growth, once again led by continued volume growth; adjusted EBITDA of $132 million to $137 million; adjusted EPS of $0.62 to $0.64 per share, which assumes a 26% effective tax rate and $115 million to $116 million diluted shares outstanding; and capital expenditures of $30 million to $35 million, which is approximately 7.5% to 9% of net sales. This CapEx will be funded by short-term financing, and as such, will result in an incremental $4 million to $5 million in interest expense versus fiscal year 2022. As a reminder, this total does not include any potential purchases of production assets or vineyards, which we approach in a disciplined and strategic way when opportunities arise. Reflected in our full year guidance are the assumptions that adjusted gross margin will be down approximately 50 to 100 basis points compared to fiscal year 2022. While we expect planned pricing efforts to cover cost of goods inflation and assume a greater year-on-year contribution from Costa Brown, these items will be offset by continued outperformance in growth from the Duckhorn Vineyards and Decoy Winery brands versus our other winery brands as well as greater net sales dollar contribution from the off-premise channel, given its relative size to what should continue to be a faster-growing on-premise business. In fiscal 2023, we will be proactively making continued strategic investment in our people, systems and processes to optimally position Duckhorn for sustainable and profitable high single-digit organic top line growth over the long term. We believe the strong results we have seen through challenging times in the past few years are a testament to the importance of smart, targeted growth investments. And that's exactly why we are investing now to help ensure favorable positioning and momentum as these uncertainties play out. While these investment costs will modestly impact our industry-leading margin profile in the immediate term, we believe these investments are important to help us achieve our long-term growth plans and strengthen our position with the luxury wine industry for years to come. In addition, fiscal year 2023 will see a new cadence in the timing of certain shipments in the DTC channel. In order to provide our Costa Brown evangelists a consistent experience with wine arriving to our consumers at optimal time as well as drive modest shipping efficiencies, a positive for our P&L and ESG efforts, we are introducing a new delivery cadence for our Costa Brown wines. Costa Brown wines will be delivered under this new schedule in fiscal year 2023 and in future years. Specifically, we will now ship 2 releases in the second quarter of the year and 1 release in each of the third and fourth fiscal quarters. As a result of this updated cadence, we will see meaningful movements from quarter-to-quarter, both in terms of total net sales, growth and profitability. And because of this, we would like to offer some additional color to ensure a consistent understanding. Beginning with total net sales, we anticipate the following growth by quarter: Down mid-single digits in the first quarter; up mid- to high single digits in the second quarter; down low single digits in the third quarter; and up meaningfully in the fourth quarter. Given the superior margin profile of Costa Brown relative to the rest of our portfolio, the brand's materially lower sales dollar contribution versus fiscal 2022 for Q1 and Q3 will create sizable margin mix headwinds both on an adjusted gross profit and adjusted EBITDA. These headwinds will prove to be significant. And to provide some perspective on the very near term, we expect fiscal Q1 adjusted gross margins to be down approximately 100 basis points, while adjusted EBITDA margin will decline by over 500 basis points as unfavorable mix, modest net sales deleverage and aforementioned growth investments weigh on profitability. Conversely, in quarters with greater exposure to Costa Brown shipments, namely the second and fourth quarters, we expect to realize slight adjusted gross margin expansion and adjusted EBITDA margin improvement will be notable. Fourth quarter adjusted EBITDA margin expansion will actually be quite pronounced due to Costa Brown's outsized year-on-year influence and will serve as the primary driver to earnings in fiscal 2023 as we realize considerable leverage from robust double-digit top line growth. Stepping back, we are very proud of the strong profitable growth we achieved in fiscal year 2022 and look forward to building on this success in fiscal year 2023. With that, I will turn the call back over to Alex for closing comments.
Alex Ryan: Before we turn it over to the operator for questions, I'd like to conclude with a few remarks. First, fiscal year 2022 was another tremendous year for us, marked by continued double-digit net sales growth that well exceeded our initial outlook as well as solid margin expansion on an adjusted gross profit basis and also on an adjusted EBITDA basis when burdening the prior year with a full year of public company costs. Second, as we head into fiscal year '23, we are confident in the prudent guidance we have outlined today, which reflects continued outperformance versus the fastest-growing subsegment of wine luxury. And third, we are energized by the prospects of and the challenges to execute against the robust multiyear wholesale distribution opportunity we've outlined for you today. At the same time, while remaining nimble and continue to support our strategy with targeted growth investments, we will remain vigilant in taking steps to uphold our industry-leading profit margins over the long term. With that, Lori, Sean and I are available to take your questions.
Operator: [Operator Instructions] Our first question is from Kaumil Gajrawala. Your line is now open.
Kaumil Gajrawala: Hi, everybody. Good afternoon. A couple of questions on the investment. I guess, first on the SG&A step up, I guess, of delivered SG&A step-up, the category continues to do well. That's always been part of your underlying assumption. Now we have this macro moment, which might present some pressure to the category. But it looks like you're stepping up SG&A kind of just at that same time. Is that to offset any pressure from a macro perspective? Or is there something that you see perhaps that's different from what you were looking at before and that suggest now is a good time to pick up some of that investment?
Alex Ryan: Hi Kaumil, it's Alex. Good question. We want to be offensive in this particular case. Getting a really qualified salesperson in targeted regions throughout the country takes a little investment and some time to where they're really starting to perform with our distributor partners. So I don't want to try to come from behind. And if I have to come from behind, I'll be well positioned. If not, we're going to just continue to accelerate our growth. So I think it's strategically consistent time to go out there and continue to force - force - continue to take share from the market with those investments. So we're looking forward, not backwards.
Lori Beaudoin: So then, Kaumil, I just might add that in terms of looking at our adjusted SG&A, we're really proactively taking this opportunity to strategically invest in our people, our systems and processes and really best position Duckhorn for sustainable, profitable, high single-digit organic top line growth over the long term. So as Alex mentioned, we're really mindful of investing in our sales team as we believe that, that talent really helps drive our new distribution. Also, as you know, we've grown faster than we anticipated. And so we do plan on investing in our systems and processes this year, taking some incremental increases, allowing us really to grow our top line in the future without having to add significant future head count. So with that being said, additionally, in fiscal year '23, we launched our EGC status. And we have some incremental costs to become SOX compliant, and it's really a onetime realization and then we don't really see it being similar increases in the future. So just really, as we sit here today, the growth rate for fiscal year '23 is really a onetime step up, and we don't anticipate similar increases in the future.
Kaumil Gajrawala: Okay. Great. And that was going to be part of my follow-up is that this is just a onetime step-up in SG&A to kind of reset yourself to this new base and then we should kind of come back to algorithm?
Lori Beaudoin: That's right.
Alex Ryan: Correct.
Kaumil Gajrawala: That’s right. Okay. Great. Thank you.
Alex Ryan: Thank you, Kaumil.
Operator: Our next question comes from Kevin Grundy with Jefferies.
Kevin Grundy: Hi, good afternoon, everyone. My first question -- 
Alex Ryan: Hi Kevin, how're you?
Kevin Grundy: I'm doing great. How're you?
Alex Ryan: I'm doing great. Kevin, thank you.
Kevin Grundy: Excellent. I'm glad to hear it. Let me start - a question for the team. Just on the initial sales guidance for fiscal '23. So 6% to 8% sales growth, which is very good in the current environment, but yet down off of close to 11% growth this past year and even stronger growth in '21, as you guys know. I think you guys used the word prudent at least two times. It might have been more than that. But maybe just talk a little bit about the building blocks behind that. Is there an expectation of a slowdown? The scanner data looks pretty muted for the wine category in general. I'm just trying to gauge the level of conservatism in your guidance versus anything that might be more concerning in terms of what you're seeing in the industry. And then I have a follow-up. Thanks.
Alex Ryan: Kevin, I think we're seeing some of the same things you're seeing, right. Luxury continues to grow, albeit at a slightly slower rate than the previous periods. So we'll have to recognize that. On top of that, we're going to go out there and continue to take share from our competition. So that's going to take some building blocks. It's going to take some strategy and some getting ourselves set up in new geographies to do that. So I think we're being prudent. And I don't think that's an overly conservative statement. I think it's just a smart statement given what we're seeing in the data and the macros. So that is, by no means, a change in my confidence in going out and being able to continue to significantly outpace the luxury market we compete in.
Lori Beaudoin: So Kevin, I'll just add, Kevin, yes, we're not seeing any worrisome changes with regard to our core consumer behavior. So I'll remind you that our core consumer behavior is a little more educated, a little more affluent than your average luxury wine consumer. And we feel that they're a little more resilient to the current features that you'll see out there. From a wholesale perspective, we do think that our month-to-month activity will be a bit more variable due to some of the pressures from the current macro uncertainties. And those are some of the reasons why we've been prudent in our approach to our fiscal year 2023 guidance. But really, we have a lot of confidence in our brand strength. And our new product innovation in our - the white space that we have to continue to grow. So that's the other side of our guidance, the confidence we have there.
Kevin Grundy: Got it. A quick follow-up, if I may. Just on pricing, Alex and then Lori, maybe spend a moment on that. And specifically, I think it was close to 3% in the quarter. I think that was largely mixture and not really rate. Alex, I think when I spoke with you over this summer, I think the recent commentary was not to say you're taking pricing across much of your portfolio. When I look at the Nielsen data, at least in those channels, I don't see, I thought it was kind of down a bit for both Decoy and Duckhorn in those channels. Your gross margin guidance contemplates some compression there down 50 to 100 basis points. So it's all kind of a wind up. Maybe just spend a moment on the pricing strategy. Is it possible maybe to lean in a bit more there and understanding there's a view here to offset input cost pressure, but can you potentially do more, I guess, particularly in the current inflationary environment on the pricing front to drive - to offset some of these gross margin pressures? And then I'll pass it on. Thank you.
Alex Ryan: Got it, Kevin. We don't set prices in the various markets, and I know you know that. We took the price at the end of last year. We're taking some price this year in the form of line pricing and trade spend management. We feel good with where we are right now. We're able to offset our COGS inflationary increases. So we think we're in a really good place and still very competitive within the luxury segment. We'll continue to rely on our teams and our strategies and see how we're executing throughout the year and decide if further adjustments are warranted and necessary given what we learned as we continue to kind of roll through the year. That opportunity is always available, but it's not an easy question. I kind of look at the broad spectrum and where we're going over the long term. So the answer is yes, it's available, and we'll keep it available as we analyze the market based on what we've already done.
Lori Beaudoin: And then Kevin, I'd just remind you that we have really good visibility into our cost inputs, right? So with our diversified sourcing model, we're able to have a good line of sight into our cost of goods. As Alex said, we've implemented pricing changes to offset any cost of goods increases. So what you're seeing really there is maybe some variability in mix and in brand and channel.
Kevin Grundy: Okay. Very good. It's helpful. Thank you, both. Good luck.
Operator: Our next question comes from Peter Galbo with Bank of America. Your line is now open.
Peter Galbo: Hi guys, thank you for taking the question. Lori, can we just dive a bit more, sorry, into the revenue cadence? Like I just - I want to make sure that we're super clear on this. If I just plug in the numbers and not to make a new math on the call, but just if I plug in the numbers you gave on revenue cadence, it implies that the fourth quarter has to be up something like 30% year-over-year. And I understand and appreciate the shipment timing on Costa Brown. But just, A, wanted to confirm that, that is kind of the math. And I guess the revenue split, just as I think about the first half, second half of the year, again, using those numbers you provided, would give you like a 52% first half revenue for the year, 48% for the second half in terms of the split. So maybe we can just clarify on those two points.
Lori Beaudoin: Yes. So the greater growth is in the back half of the year for sure. So in Q4, we are going to have a 30% plus top line growth. And that's a result of moving the Costa Brown Appalachian series, which is the largest of the offering, into Q4. We'll have a greater realization in the year in the back half of the year from our new product launches as well as realizing some of the gains from the strategic investments we're making with regard to our sales team. So - and then the other thing I'll point out is that in the back half, we do have easing comparisons, easier comparisons in the back half than the first half. So really, the volatility is due to Costa Brown shipments. Our wholesale shipments will be consistent and growing throughout the year.
Alex Ryan: Hi Peter, that was a good question. I don't want you to be concerned about that strategic change in the Costa Brown cadence. That was a good management decision that benefits our customers, our highest stakeholders. So we made it their benefit. And I think as I noted in our - in the script earlier, we just had the Costa Brown Burgundy release and it sold out in record time. So I think that should soften any concern that while we have made some changes that put some of the pressure in the back half, there are strategic changes based on the right decision, and we're seeing no degradation in the brand affinity on that big mover in the cadence for this year. So we're still quite positive on the year-end results.
Peter Galbo: Got it. No, thanks Alex. That's very helpful. I just wanted to make sure that kind of we had cleared that up. And then just a follow-up, Lori, I guess if we could talk a little bit about the EBITDA split as well. I mean, I would imagine it would follow kind of a revenue cadence, but just wasn't sure kind of from a weighting standpoint, how we could think about first half versus second half in terms of taking into account what you said about first quarter, but just the EBITDA split. Thanks very much.
Lori Beaudoin: Yes. EBITDA will follow sales for the most part. So our OpEx, our adjusted SG&A is fairly consistent throughout the year on a quarter-over-quarter basis. So as our net sales trends change, I would expect the EBITDA to follow.
Operator: Our next question comes from Rob Ottenstein with Evercore. Your line is now open.
Robert Ottenstein: Great. Thank you very much. Alex, I was wondering if you could kind of just kind of step back and give your take on the overall wine industry in the U.S., realizing that you only operate at the high end, but you are part of a bigger ecosystem. Can you talk just a little bit about why wines under $15 are so weak? What some of those dynamics are and then maybe reinforce your conviction that the high-end market will continue to grow well. Thank you.
Alex Ryan: Yes, how're you? Yes. I got it. Obviously, we're looking at that. We don't compete in the more challenged sections. You know that. And by choice, we have complete and absolute focus in the luxury segment. It has and continues to be the fastest-growing wine segment. And we keep more propping that category up right now. So people are still buying luxury, right? There are premiumization tailwinds. And luxury wine has been a fabric of human existence for a long, long time. And I think we're just giving the consumers the luxury feel, the luxury style at the right luxury price points, a really key word, right luxury price points that they want to participate in. On top of that, we have extremely strong brand strength. We've offered innovation, continuing, again, struggling - focusing solely on the luxury piece. And so I really believe that while it has shown a little slowing, you've seen that, that we continue to outpace that for a number of reasons. And in particular, when you're growing at that level, you're stealing it from - you're stealing it from your competition. We have great competitors out there, and we're able with our investments and our timing and all things I just mentioned to continue to take it from those other people who are in that particular space. We've put out a deck, this time was the first time we did, but you can take a look at Page 7, and it kind of outlines - six and seven really kind of outline it's an affirmation of the successes we're having in the luxury market. It looks at it two different. One by price point, one by competitive level. Both of them speak extremely powerfully on the performance of Duckhorn. So I'd turn you on to there. I can't comment on the struggles of the under $15 price point area pretty well. It's a slightly different business. It's just really not fair to me to kind of go down that road. So what I am comfortable in is the area that we're competing in. And I don't see any changes in our ability to continue to take share and perform above market in that section. I hope that gave you a little better perspective.
Robert Ottenstein: Got it. Got it. And then just curious, when you look at the - we've had some pretty dramatic changes in currency, right. Does that have any potential impact on wines, imports coming into the U.S., such that potentially, we could be flooded by high quality but cheaper wines coming in from, say, Europe or around the world? Is that something that's on your radar screen at all?
Alex Ryan: No. Yes. I mean, theoretically, that could happen, obviously, but we're not seeing any evidence of that. Unfortunately, a lot of the great luxury wine world markets, worldwide markets have had producing areas have had some challenges with the climate. I don't think there's a lot of excess wines. We're not really - we're not seeing that. And we've never really found a flood of imports to be a massive competitive impediment for us in the past, at least over the past 40 years. So we're not anticipating that to happen to a significant degree. We'll obviously watch it closely. But really, we don't think that, that's going to be a real impediment to our continued growth trajectory. And in a lot of those floods, if you will, the term you used, I don't think they're going to compete in the same outlets that we're going to be targeting over the next several years.
Robert Ottenstein: Got it. Great. Well, thank you very much. I appreciate it.
Alex Ryan: Thank you.
Operator: [Operator Instructions] Our next question comes from Andrea Teixeira with JPMorgan.
Andrea Teixeira: Thank you. Good afternoon. So my question is related to the sales outlook, and I know you explained, but the comment regarding the on-prem is decelerating vis-à-vis the off-premise. And you did comment, Alex, of the trends that you saw in July. I was just kind of parsing out with the Slide 9, and I do appreciate the deck that you kind of reiterated the high single-digit algorithm beyond fiscal '23. So I was just hoping to get some sense of what underlies your - underlines your assumptions for fiscal '23. Is that the trend that you saw in July despite the recovery in August and assuming that's the base case scenario? And then I have a follow-up on the SG&A front. And I'll let you answer that one.
Alex Ryan: Yes. On the trends that I spoke - that we spoke of earlier, we do see that mid-summer kind of trajectory change is somewhat more limited to the summer period. We're seeing some acceleration pulling out into the fall and moving into our active wine season, if you will, October, November, December. So again, I think that - I think that is more of a - was more of a temporary kind of approach. I think that - I think the important piece is that the market continues to reward us for our focus on the luxury, the strength of our brands on a national level, both in independent and national accounts. And the innovation, while strong and growing, again, it's a little more weighted toward the back half of the year, continues to be accepted readily. So again, we're not anticipating any of that slowdown continuing through the year for our sales cadence and associated guidance.
Andrea Teixeira: So is it more because you penetrated the restaurants more and you gained a lot of share and you're just like making sure that you're not going ahead of your skews and thinking that will continue into fiscal '23. Is that the way we should be thinking on a mix base?
Alex Ryan: That would be reasonable, that would be prudent. I think we started this conversation with prudent. I think there would be some prudence in there. What we continue to see is people. People - restaurateurs want to use brands that provide them with good, reliable sales flow. And we absolutely fit right into that cadence for the on-premise.
Lori Beaudoin: Andrea, I'll just remind you that so our growth rate for our on-premise sales will be faster, but that our off-premise business is much bigger. And so we will continue to grow off that large base. So we have planned to grow both on- and off-premise next year at just at different rates.
Andrea Teixeira: I understood. Okay. Thank you. And then a follow-up for you, Lori, on the - on the SG&A front. I understand, of course, the reinvestment needs and the regulatory requirements. But you also - is that an indication for the cost of growth rising and specific investments that you incurred in fiscal - that you're hoping to incur in fiscal '23? Would you say that most of these expenses are recurring and therefore, the EBITDA margin recovery ahead of like to the algorithm that you had before would be - for the long term, would be dependent on the volume growth ahead of '24 and '25?
Lori Beaudoin: Yes. So we don't anticipate that the growth rate in adjusted SG&A to be the same into the future as fiscal year '23. And we also anticipate that the percentage of net sales will come down somewhat, but will not, of course, reset to the levels that we had prior to becoming public.
Andrea Teixeira: Okay. That's fair. I'll pass it on. Thank you.
Operator: There are no further questions waiting at this time. So I'll pass the call back over to the management team for closing remarks.
Alex Ryan: Thank you. I want to thank everyone for joining us again today to review our fourth quarter performance and to discuss the 2023 fiscal year outlook. I look forward to speaking with you again in early December when we report our first quarter 2023 results. Take care, and thank you.
Operator: That concludes the conference call. Thank you for your participation You may now disconnect your lines.